Operator: Greetings, and welcome to the National Storage Affiliates Trust Second Quarter 2025 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce you to your host George Hoglund, Vice President, Investor Relations. Thank you, George. You may begin.
George Andrew Hoglund: We'd like to thank you for joining us today for the second quarter 2025 Earnings Conference Call of National Storage Affiliates Trust. On the line with me here today are NSA's President and CEO, Dave Cramer; and CFO, Brandon Togashi. Following prepared remarks, management will accept questions from registered financial analysts. Please limit your questions to one question and one follow-up and then return to the queue if you have more questions. In addition to the press release distributed yesterday afternoon, we furnished our supplemental package with additional detail on our results, which may be found in the Investor Relations section on our website at nsastorage.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements that are subject to risks and uncertainties and represent management's estimates as of today, August 5, 2025. The company assumes no obligation to revise or update any forward-looking statements because of changing market conditions or other circumstances after the date of this conference call. The company cautions that actual results may differ materially from those projected in any forward- looking statement. For additional details concerning our forward-looking statements, please refer to our public filings with the SEC. We also encourage listeners to review the definitions and reconciliations of non-GAAP financial measures such as FFO, core FFO and net operating income contained in the supplemental information package available in the Investor Relations section on our website and in our SEC filings. I will now turn the call over to Dave.
Dave Cramer: Thanks, George, and thanks, everyone, for joining our call today. During the second quarter, we generated sequential improvement in occupancy, moving contract rates and our rent roll down spreads. However, our same-store NOI and core FFO per share results fell short of our expectations for several reasons, including: first, there's been no meaningful improvement in the overall macroeconomic conditions, including housing transition as interest rates remained elevated and affordability remain challenged; second, the interest rate and overall inflationary environment have been more challenging than what was contemplated in our guidance, which has weighed on interest expense and repair and maintenance expense; third, there is continued pressure from new supply in several of our markets and is having a greater impact than expected. Fourth, it is taking longer to realize the benefits from the pro internalization as we work through the changes to revenue management strategies, brand consolidation and management procedures. Finally, the elevated use of concessions during the quarter was a near- term drag on revenues. Taking all these factors into account, in addition to our assumptions that will now be net seller of assets for the year, we've adjusted our guidance ranges accordingly, which Brandon will detail in his remarks. Moving to the transaction environment. We sold 10 properties, which were all former pro properties in noncore markets where we did not have a scale, and were therefore inefficient to manage. We exited 4 states with this transaction, making a total of 5 states that we've exited year-to-date. We also acquired one property in Texas and an annex to an existing property in California, which was completed as a 1031 exchange. During and subsequent to the quarter, our 2023 JV acquired 2 properties, one in New York and one in Tennessee. After acquisitions, net proceeds of $40 million were used to pay down the revolver. Although there remains a steady flow of opportunities coming across our desk, we remain very disciplined in the use of our capital and are focused on improving our balance sheet metrics. Overall, we remain confident in the outlook for NSA. We still expect to realize the full benefits in the pro internalization. And as the housing market loosens, we expect to realize outsized benefit given our geographic exposure to Sunbelt and suburban markets and will be more impacted by a housing recovery. Lastly, new supply is projected to decline over the next few years to levels well below historical averages, which will support an improving supply/demand backdrop. We continue to focus on improving our portfolio and occupancy position with increased marketing spend and the use of concessions. We've increased repair and maintenance spend as we address these in the portfolio that will enable us to improve performance. Although these actions add near-term pressure to revenues and expenses, we believe these are the right decisions in light of our current operating environment. With that said, I do believe that we've hit bottom in fundamentals and that we're just starting to hit our stride operationally. Some of the positive trends that we saw in the quarter and ended July are as follows: occupancy increased 140 basis points sequentially during the second quarter to finish at 85% and further increased in July to 85.3%. This is a noticeable difference from July last year when we lost 40 basis points of occupancy from the current same-store pool. Year-over-year occupancy has narrowed to 150 basis points at the end of July from 220 basis points at the end of June. RevPar has grown for 5 consecutive months ending July with the year-over-year delta improving down from 4.2% in February to 2.2% in June and now down to 1.6% in July. On a same-store NOI basis, 2 of our reported MSAs, Houston and San Juan, inflected positive for the quarter. Bad debt expense grew on a year-over-year basis and remains in line with historical averages. We are seeing the benefits of technology in our call center with 15% of our total incoming call volume now handled by AI, and the evolution of our paid search model is driving more opportunities and leading to higher value rentals. Further, our existing customer base remains healthy. We continue to be pleased with the overall success of the ECRI program, and length of stay remains above historical averages. While the pace of our progress was slower than expected in the first half of the year, we are encouraged by the positive trends that we experienced in June and July. We are focused on maintaining that momentum throughout the rest of 2025 and into 2026. I'll now turn the call over to Brandon to discuss our financial results.
Brandon S. Togashi: Thank you, Dave. Yesterday afternoon, we reported core FFO per share of $0.55 for the second quarter, an 11% decline from the prior year period, due primarily to a decrease in same-store NOI and an increase in interest expense. For the quarter, same-store revenues declined 3%, driven by lower average occupancy of 240 basis points and a year-over-year decline in average revenue per square foot of 30 basis points. Expense growth was 4.6% in the second quarter. The main drivers of growth were property taxes, marketing, R&M and utilities, partially offset by a decrease in personnel costs. Property taxes were elevated mainly due to a tough comp as we had successful appeals in the prior year period. Marketing was up 39% versus the prior year given the competitive environment and targeted spend on markets with rebranded stores. R&M was higher largely due to cost inflation, addressing deferred maintenance and some weather-related items. These revenue and OpEx results led to same-store NOI growth of negative 6.1%. Going forward, we expect some of these expense pressures to ease, and we expect sequential improvement in the year-over-year revenue growth which is reflected in our guidance. Now speaking to the balance sheet. We have ample liquidity and maintain healthy access to various sources of capital. We have no maturities of consequence until the second half of 2026 and our current revolver balance is $400 million, giving us approximately $550 million of availability. As Dave referenced earlier, we expect to be a net seller for the year, and the use of near-term asset sale proceeds will pay down the revolver, which, combined with improving fundamentals, will help to bring leverage down over time. Net debt-to-EBITDA was 6.8x at quarter end, down slightly from 6.9x in Q1. Turning to guidance. Based on year-to-date actuals and taking into consideration the factors impacting performance that Dave highlighted in his remarks, we have adjusted our guidance ranges for 2025 for same-store growth and core FFO per share and now expect same-store revenue growth of negative 2% to 3%, same-store OpEx growth of 3.25% to 4.25%, same-store NOI growth of negative 4.25% to 5.75% and core FFO per share of $2.17 to $2.23. Additional guidance assumptions are detailed in the earnings release. Thanks again for joining our call today. Let's now turn it back to the operator to take your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Michael Goldsmith with UBS.
Michael Goldsmith: My first question is on the updated guidance. When you started the year, you laid out kind of the different scenarios underpinning the midpoint and the higher end at the low point. Just based on this updated range, can you kind of walk through this scenario is contemplated to hit the different -- the high end, the low end, the midpoint and what sort of macro expectations for the back half is required to kind of fall within that range?
Brandon S. Togashi: Yes, Michael, this is Brandon. Thanks for the question. So our revised -- I'll anchor my comments really to the same-store revenue growth because that was from a magnitude, the largest change which flow through obviously the same-store NOI, and that's the biggest driver of the total core FFO per share adjustment in our ranges. So regarding same-store revenue in terms of the operating fundamentals, what's assumed at the midpoint is us being at or near the top of occupancy as you typically would seasonally this time of year and then having a sequential decline as we progress through the back half of the year. Dave mentioned, at the end of July, we were down 150 basis points in occupancy. So we are forecasting at the midpoint an occupancy trend that is not too dissimilar from what we experienced last year, which was some of that typical seasonal sequential drop off such that we would hover around that year-over-year delta of minus 150 basis points plus or minus. And then similarly, we would see some seasonal sequential decline in street rates that would have its own impact on the rate roll down between move-ins and move-outs. But generally, like our contract rate, we're estimating we'll follow a similar pattern as last year. You saw in the documents year-over-year, we were flat on the in-place contract rate to last year. And so if what I just described plays out, we would remain relatively flat on a year-over-year basis. And then you have the impact of higher discounts and concessions, which we talked about earlier as well. And we expect that on a year-over-year basis to continue. So those are the big building blocks that get you to the back half of the year being down 2% year- over-year, which combined with our first half negative 3% gets you to the midpoint for the full year of that negative 2.5%. And then on the high and low end, it's really obviously things being better or worse than what I just described. But that's -- and I wanted to focus my comments on really that core midpoint. The last part of your question, I would say there's a lot less dependent on the macro with this midyear revision as there was at the beginning of the year. I mean we obviously have 6 months of reported information. We've got 7 months of operational data in front of us -- excuse me, 7 months of operational data in front of us with July. And so you're only projecting 5 months of the year and you've really seen what's going to transpire in the key spring and summer leasing season. Whereas at the beginning of the year, there was a lot more predicated on some macro improvement.
Michael Goldsmith: Just as a follow-up, given where your shares are trading, how are you thinking about share repurchases? And there was a little bit of a maybe lower volume of acquisitions. So maybe walk through kind of the capital allocation thought process and between share repurchases and acquiring new properties.
Brandon S. Togashi: Yes, sure. I mean, look, the opportunity to repurchase our own shares is there for us. We have a plan that we reestablished late last year. Certainly, the stock price today, we view as very attractive and at quite a discount to a fair value. But you hit it on the head. We're going to balance those decisions with our capital plans and sources and uses. The acquisition environment, Dave touched on, he can expand on it further, but it's very competitive. And so the prices that are required to win single deal -- single property deals versus making a more diversified investment into your own company that are underwriting on, I mean, I think those are all the things that factor into those decisions. But we're going to be judicious and disciplined about it and keep our balance sheet metrics in mind as well.
Operator: Our next question comes from the line of Samir Khanal with Bank of America.
Samir Upadhyay Khanal: I guess, Brandon or Dave, given some of the pressures you've talked about in the markets, whether it's Atlanta or Phoenix, how are you addressing your ECRI strategy? I mean have you seen any sort of customer behavior changes and maybe even an increase in churn I guess just around your ECRI strategy would be helpful?
Dave Cramer: Yes. Thanks for the question, and thanks for joining today. I'd say, on a whole, we've seen no significant changes in the program, the acceptance of the level of expected turn created by the ECRI program and then the net output of the revenue gains we're getting out of it as a whole, no changes. We've actually dialed in a little more areas where maybe we could be a little more assertive on maybe a magnitude just based on risk factors and things like that. I would tell you, as we went through the pro transition in the back half of last year and really the first quarter of this year, the team worked very hard at working through that backlog of customers that hadn't had a rate increase. And so we pushed quite a few rate increases through really the last couple of months of last year and the first part of this year and had good success there. But I think we learned a couple of things just we work through the magnitude of those customers and how many rate increases we push and understanding what that churn look like, we're able to dive in a little bit more on our risk scores about maybe pushing some longer-term tenants in that existing pro base. But we're happy with the outcome. But again, every time you get more data points, you learn, but the program as a whole is still very stable and doing what we needed to do.
Samir Upadhyay Khanal: Got it. And another topic that has come up is the dividend, right? I mean, given we'll see where our numbers shake out for next year from an AFFO perspective, but how should we think about the dividend given where the AFFO payout ratio is?
David G. Cramer: Yes, good question. We certainly know that we're at a higher payout ratio than we've ever been, and we're currently above the payout that we're earning. And I would tell you, our Board is very thoughtful as we are as a leadership team on how we evaluate the dividend policy and the payout ratio. We routinely discuss the current state of our business as well as the near and long-term outlooks. Our Board has insights to our initiatives, our strategies, what the company is deploying. They have very deep knowledge of the self- storage sector and the dynamics of the self-storage sector. I would tell you, I think the Board understands the long-term plan as well as the impact of the cycles of the sector. So I think it also plays into our ability to really make a meaningful improvement in a relatively short time frame because of the short contract rates that we have, the short month leases we have. I think our Board has a long-term view and has a good understanding of where we're at and where we're headed.
Operator: Our next question comes from the line of Eric Wolfe with Citibank.
Eric Wolfe: For your move-in rent data on Page 21 of your supp, I was just curious if you could tell me sort of what concessions or promotions are included in that number? And whether you think that changes -- that number, a good forward indicator of where your average annualized rental revenue will eventually go? So actively, if we look at the sequential or year-over-year changes, and those moving rents, does that kind of eventually tell us where you think that annualized rental revenue will eventually go?
Brandon S. Togashi: Yes, Eric, this is Brandon. So I don't have a specific adjustment to that move in contract rate number since that's an annual number on the discounts. The way that we look at the discounts internally is just kind of like on a total dollar basis. And historically, we've talked about it is just how much are discounts as a percent of total revenue that we're earning and that discount percentage was lower for a long period of time during the pandemic and when fundamentals were much stronger. And basically, we've been returning back to more normalized levels of discount. So something in like the 2% up to 3% of revenue range. I think our use of discounts more recently -- I would tie that together with Dave's earlier comments about ECRI as well. I mean we've strategically been using discounts in part to kind of lessen the amount of ECRI that we maybe have to push most immediately as to a customer, especially in this tough environment over the last few years, you know the narrative. There's been a lot of reputational risk that I think has been introduced to the industry and to certain operators with the way those are processed. So it's -- we're testing a lot of different ways of acquiring the customer and then moving their in-place rates up. The second part of your question, I would not say that the move-in rate is an indicator of where the long-term in-place contract rate is necessarily going to go just because of how dynamic the Street move-in rates can be as well as just the power of the ECRI. So the way we think about it, now that we started disclosing the move-in and move-out rates that are on that Page 21 or subschedule 7, you can see the rate roll down. And you can also see that we've been stable on the contract rate if not improving a little bit, these last several quarters, and that's just through the power of the ECRI. So I think you can still maintain long term, a strong in-place contract rate even if those street rates are below that -- the moving rates are below that.
Eric Wolfe: Understood. And then I think -- sort of a follow-up. I think in the opening remarks, you could have had it wrong, but I think you went through monthly what the revenue per available square foot was, and I think it was accelerating through the second quarter and reached negative 1.6% in July. I think RevPar is usually a pretty good indicator for sort of revenue growth, but maybe there's a difference, but I just want to make sure that I sort of understood it correctly that effectively your same-store revenue was getting better throughout the second quarter and reach, call it, around negative 1.6% in July?
David G. Cramer: Yes. You heard it correct. This is Dave, Eric. And you're right, we were down 4.2% in February, down 2.2% in June and then the 1.6% in July. So for us, RevPar is a pretty key ingredient to the overall revenue output. Obviously, your comment about what's happening with concessions plays into that. And to add on to what Brandon was talking about earlier is one of the things we've done with our asking rents and position in the market is we've tried to position ourselves to get a little easier manageable rent roll down and then also keep the customer count where we want it and attracting the right customers. And so adding in a discount is short term. I mean, so if you're getting a little bit better asking rent and you're keeping the move-in volumes you want and use that at one time once a month or half off with the first month, it just burns through, but that does not show up in the rate. it's just a pure drag on revenue. But we do like the position of the -- our rent roll down is pinching down to like 20 now versus our high point last year was at 38 in October. So we certainly are working on finding the right path to make sure that from an ECRI perspective, customer account perspective, use of discounts that we're attracting the right customer we want and getting the value we want out of that rental.
Operator: Our next question comes from the line of Juan Sanabria with BMO Capital Markets.
Robin Magnus Haneland: This is Robin Haneland, sitting in for Juan. Just curious, could you discuss the competitive landscape from public payers and institutional portfolios in your markets?
David G. Cramer: Yes, certainly. This is Dave. Thanks for the question and joining. We would tell you this year, there's a couple of things that we -- new supply and the amount of supply being added we think has probably peaked in a lot of our markets. And so that, from a competitive standpoint, you're not getting a ton of new supply adding into your markets, you're just trying to absorb what has already been positioned in the markets. That, I think, has led to a little bit more stability around asking rents. This -- we'd say the first 6 months of this year and really into July has been a little more stable around the competitiveness of asking rents. It appears that a lot of the occupancy levels maintained through the first 6 months of the year. So I think a lot of everybody have just a little bit more pricing position as far as that stability. And we've certainly seen that in our portfolio as well. For us, we actually were able to grow occupancy in July, which is something we didn't do last year, and we actually had street rates maintain and improve. And for us, the street rates will flip positive on a year-over-year basis in the month of October and September and August, those 3 months just because of competitive comps from last year. But I would tell you, overall, we're happy with the stability in the asking rents and the way we're able to position those asking rents in the market.
Robin Magnus Haneland: And could you elaborate on the green shoots in your new marketing strategy? And what gives you the confidence on the implied second half same-store revenue to accelerate?
David G. Cramer: Yes, it's a good question. Part of the Pro transition, we rebranded in a lot of markets. And one, we introduced nsastorage.com so that is a singular domain name for all of our brands to live. And so any time you start fussing around with domain names and rebranding and rebranding of stores, there's certainly an element of disruption within your position and how Google sees you and how your visibility scores come and your ability to really be seen by the customer overall. And so from our marketing spend perspective, we've really spent more dollars really targeted around those rebranded markets. A lot of those are in the pro markets. And we've really elevated from a paid search perspective, where we're positioning our ads, how we're positioning our ads and really using a little more automation and a lot more technology than it was used in the past. It's led to the elevated marketing spend, but I can tell you what we're seeing is top of the funnel demand improving significantly. And now we're working that top of the funnel demand through the actual funnel and working on conversion rate. And I'd tell you some of the green shoots of that, is the fact that we did grow occupancy in July. It's something that didn't happen last year. We put more customers into our portfolio at the back half of June and the first -- in the full month of July. And so far in August -- early in August, we're very happy with the stability we've seen in August. So all those things combined, we believe that we're in a better position to attract and find new customers.
Brandon S. Togashi: And Robin, I just want to add, just to your question about our confidence and what's implied in the back half. I'll tie it to what we were just discussing with Eric, just to make a clarification point. That RevPar year-over-year negative number, 1.6 that we were talking about, that's a good example of -- that number doesn't include concessions. And so I don't expect the year-over-year revenue growth in July to necessarily be negative 16. It will be something worse than that because of the use of discounts that RevPar number also doesn't include bad debt and some of the fees and other ancillary income. But I do expect the July year-over-year revenue growth to be better than the negative 3% that we posted for the first 6 months. And so I just want to give some specific data points in combination with what Dave said, just to give you a sense of why we feel good about the general trend and that sequential improvement.
Operator: Our next question comes from the line of Michael Griffin with Evercore ISI.
Michael Anderson Griffin: Maybe you can give a little more color on maybe just kind of the delayed -- not necessarily implementation, but pushing back some of the benefits of pro transition. I mean it seems like that the properties are all kind of centralized on one platform. So it doesn't necessarily seem like they're competing with each other from a revenue perspective. But I mean, is it back-end synergies? I'm just trying to figure out what is sort of delaying the benefits that you were expecting maybe earlier in the year?
David G. Cramer: Yes. Thanks for joining. Good question. I really -- in our opinion, we really got the nuts and bolts buttoned up really December of last year. I can tell you from our team's perspective, this is the first time I can -- since I've been with NSA publicly away from the private side of secure carrier in 5 years, we haven't had some kind of transition going on, where we were absorbing stores or had some kind of pro internalization going on. So the team has actually had 4 or 5 months of heads down now. And I think that's important to think about as we enter this pro transition, we took a large number of stores over a small time period, 5 to 6 months and add them to centralized portfolios and change all the technology out. I think what we're -- as I look at it, we thought maybe we'd be a touch further ahead because of conditions that were out of our control, the economic conditions, the housing turn. A lot of these pro stores are in the Sunbelt market. Though Sunbelt markets are also very challenging. You've got Florida, Gulf Coast to Florida, West Coast of Florida, you've got Phoenix where a large position of these stores were. You got Dallas Fort Worth, which was a large position in these properties, Las Vegas. So a lot of these pro stores are in very challenging markets. And as we talked about in the last question, the rebranding takes time. It takes effort, takes a lot of effort. I think the team has executed well. I think there's still room for us to improve. And we will continue to focus on that and gain more traction. But a new domain name, consolidation of brands, consolidation of new brands, end markets, all those things combined, I think it just put us a little bit behind where we thought we would be.
Michael Anderson Griffin: Dave, appreciate the context there. And then I know you mentioned that at least in your call center sort of trying to leverage AI to see some benefits there. But I'm curious from a customer acquisition standpoint. I mean I imagine that most of your inbounds are still through kind of traditional Google search means, but are you able to kind of see any impact or benefit from searching with AI tools, whether it's ChatGPT or anything of the like. Just wondering kind of how that customer is attracted to potentially renting a storage unit?
David G. Cramer: Yes. It's a really good question. I think it's early to really understand all of the implications of chat and AI technology on how the consumer is shopping. Certainly, the consumer has changed their shopping patterns because they speak through their phone now and ask more sophisticated questions. And obviously, the technology has to have a better answer and a more sophisticated answer. I will tell you from our seat, our team has spent a lot of time and is continuing to spend a lot of time analyzing how -- how do you get to the end result. I mean that's what Google ultimately wants to do is they want to listen to what you say to it and get you to the end result. And so we're spending a lot of time going back through our content that sits on the website, how it's worded, what it's worded like, is it chat friendly, are we doing the right things to make sure when a customer is looking for a storage facility, we have the ability to show up well. I think it's evolving and it's evolving quick, and it's going to be very dynamic. And for us, I think we'll do our best to stay on top of what's going on around that arena and adapt to it. Also say within our company, we are very happy with our use within our own platform and the fact that the call center was able to contain through our agent, we call her Alexis. She was able to contain 15% of all the phone calls that came to our call center and actually solve an end result. So what we mean by contain is that an agent or that platform actually solve the consumer's question and handle the call without it going to somebody else. We think there's room to grow there, which gives you efficiencies and also keep your people focused on the real calls that need a personal touch. We like that. And then we also launched at our stores what we call My Storage Navigator, where you can walk up in the store, you can take your cell phone, you can scan a QR code and you can completely transact with us 100% without having a manager at the store. It's right now running in a web-based solution, but that can also be turned on as an app that's downloadable. And so we are certainly focused a lot around how the consumer wants to transact with us and modifying our technology to adapt to it.
Operator: Our next question comes from the line of Todd Thomas with KeyBanc Capital Markets.
Todd Michael Thomas: I just wanted to follow up on a few things related to the pro transitions and the consolidation of banners. With regard to the web search and some of the comments that were made, where are search rankings and conversion rates today relative to where they were before the pro transition? Can you give us a sense how far maybe some of those metrics fell off and sort of where they stand today?
David G. Cramer: Yes, Todd, it's Dave. Thanks for the question. We certainly have improved our visibility score, and that's one of the metrics we look at substantially in all of the markets where we've consolidated brands and then brought brands onto the single domain name. And statistically, that's allowing us to show up significantly better in keyword searches in the amount of times that we're showing up where consumer wants to find us in an overall ranking. But if you think about some of the progress we've made, we've used this a few times in some of the decks that we put out. But we want to be in that top 3 range. And statistically, we're moving nationally to that piece of it. We've had like -- Florida be an example where maybe our visibility score would have been before the transition almost 11, if you think about the metrics around the visibility score, and now it sits at 6. We're certainly making improvements in the markets we want to make. It's a process. It's not all about paid search. It's about all of the things that go into being found, and it's review scores and it's where you are at around the map process, the Google my business process, how you work on your organic treatment. And so we are making significant improvements there. Because we switch platforms, we don't have all consolidated data from the old pros websites to ours. But I can tell you that in our own platform where we had visibility, we're driving about 13%, 14% more people to the top of the funnel today than what we were doing a year ago. So that's an improvement that we like that means we're being found more and more folks are coming into our website and looking for a shopping experience with us. That's led about a 6% to 7% improvement in opportunities. So top of the funnel to opportunity, which would be like a reservation of quote, that's up about 7% on these stores that we have year-over-year data on. And so I think all the things we are doing are improving. And so we're happy with it. We certainly need to be better. We want to continue to refine and get better as we learn and go through it.
Todd Michael Thomas: Okay. And then with regards to the use of concessions and discounts, did that increase throughout the period and into July? Or have you now been able to ease up a little bit? And was the implementation and response from the use of concessions, was that more broad- based across the portfolio? Or was it primarily in the markets that remain a little bit softer?
David G. Cramer: I think, certainly, it was in the markets that were softer. We were certainly more assertive in those markets. I would also tell you the last couple of months, as we talked about in NAREIT, we were very specific about a unit type and a unit size as we were having not only -- we focused on the price we have rolled down, but we were actually having a square footage roll down of about 5 or 6 square foot per rental. I think we talked a lot of you at NAREIT about it. So we got very specific around concession use around type of units and size of unit, and we actually ran some sales on our website around particular unit sizes, and we were very happy that it worked. I mean, we certainly found some traction, and we're able to rent and target specific unit types and sizes. And a lot of the concessions were around that piece of it.
Operator: Our next question comes from the line of Jon Petersen with Jefferies.
Jonathan Michael Petersen: On the same-store revenue guidance, call it, about 250 basis points. Are you able to parse out, I guess, how much of that is related to the housing market being weaker than your initial forecast? And how much of that you would ascribe to the pro internalization challenges?
Brandon S. Togashi: It's tough, Jon, as you can imagine. But what I will say is that when we introduced guidance in February, we did talk about the low end of guidance, assuming no meaningful improvement in housing and demand still being kind of more muted on a relative level versus like the midpoint and high end of our guidance assumes much stronger occupancy gains, if you recall, I think at the midpoint, we said 250 basis points of occupancy gain peak to trough, which we obviously didn't experienced this year. So that alone, I would say, the macro, hopefully, we were clear enough in February that if you're looking at the existing home sale data as one data point, right, of course, not all of our demand is coming from that source, but using it as a correlative data point, based on all the -- 6 months of information that's been reported, we all know that hasn't materially improved. So I think that alone, you're at least at the low end of our previous range. And then I think you compound that environment with some of the unexpected elongated challenges that Dave described on the pro transition front, and that's kind of -- that walks you the rest of the way to our revised range now.
Jonathan Michael Petersen: Okay. All right. That's really helpful. And then I guess on the pro internalization challenges, is it specific pro portfolios that are harder than others maybe to integrate? Or would you describe the challenges as more broad-based across all the pro portfolios?
David G. Cramer: I think we've had success -- it's probably more market driven than it is particular pro properties. If you think about, as I mentioned earlier, some of these portfolios, a larger concentration of the pro stores are in very challenging markets. And then you throw on a rebrand on top of -- Phoenix, for an example, we did not only have 2 stores down there that we operated as a corporate. And then the rest of those stores were managed by Pros. And so we had to go down and obviously bring our -- we hired as many of the team members as possible, but we had to bring in leadership into that market and then go through a rebrand, establish ourselves in the rebrand. And then on top of it, it's a tremendously competitive market, right? There's a lot of new supply. A lot of things going on in Phoenix. And so I think all those things couple it. So I wouldn't categorize it as one particular pro set of stores were more challenging, it's probably more market-based, I think, is what we would say.
Operator: Our next question comes from the line of Spenser Glimcher with Green Street.
Spenser Bowes Glimcher: Maybe just 1 for me. On the disposition front, can you just talk about how many properties you currently have earmarked for sale just over the near term? And then where has pricing been in terms of cap rates on recent acquisitions or dispositions, excuse me?
David G. Cramer: Yes. Thanks for joining. Appreciate the question. We do have a list of stores that we have identified in addition to that we're evaluating for either some kind of disposition strategy or can we spend some capital on them and improve the way they're positioned in the market I think we'll have probably some more color on that in calls to come. We're still working with our Board and our leadership team around a strategy around how do we reinvest in the portfolio? How do we really think about the portfolio as long-term health and long-term success and then how do we position that with the assets we have. So we'll have some more coming out on that. I would tell you the stuff that we are selling, we're having great success with. I mean we just sold a total of 10 properties that were very single market properties. A lot of them are in locations in states where not large markets and not a lot of scale for us to have. And those properties sold sub-6. So I mean, it's on a trailing basis. That's -- we're just having good success around what we're selling and the type of asset we're selling and the attraction of people who want to buy it. And so lots of buyers out there looking for a lot of the products that we're working on. And so we're happy with that piece of it.
Operator: Our next question comes from the line of Ravi Vaidya with Mizuho Securities.
Ravi Vijay Vaidya: I wanted to ask a bit about the Portland market. It really stood out as a positive same-store revenue growth. And maybe I just wanted to know what are some of the demand drivers here? And maybe what led to that outsized result versus maybe some of the other markets that are inflicted with higher supply?
David G. Cramer: Yes. Good question, Ravi. It's Dave. I think Portland is really a story if you think about self-storage as a sector and what happens in self-storage. We have a lot of well-positioned assets. It's a market we've been in for a long time, starting back with the original brow and the Northwest South storage. A lot of knowledge there, a lot of success there. But Portland went through an over development cycle just prior to COVID there in '19, where there was just a tremendous amount of new supply built and supply got out in front of demand. And Portland had to cycle through COVID helped mask kit for a couple of years, but Portland really had to cycle through a tremendous amount of new supply. The reason I say that is it shows you the strength of the sector when everything comes back in balance. Portland itself as a market seems to be stabilizing, and it seems to be a little more healthy than maybe it has been in the past 2 or 3 years. But what really has come back in balance is the supply-demand ratio of product and consumer looking for product. And it's allowed us to obviously get occupancy back. It's allowed us to have some pricing strength, not just us. I think everybody, if you heard calls reported that Portland is one of the markets that was starting to perform well. So probably why I like this sector. I mean, if you keep supply and demand in balance, things work very well. And when you get it overbuilt and if building slows down like a cycle we're going to head into where new supply is starting to come off its size, the sector will grow into itself, and you'll have good output when you're done.
Ravi Vijay Vaidya: Got it. That's really helpful. Maybe just one more here on your acquisitions guidance. I guess, why lower it right now and maintain the disposition guidance? Why not match fund the 2 of them? Or do you see better opportunities to use the disposition capital at this time?
David G. Cramer: Yes, good question. I think there's a couple of things going on. We're certainly being very, very patient and disciplined with our capital. Would we buy if we find the right properties? Absolutely. And we see a lot of deals that come across the desk, we underwrite a lot of things. Just given today's environment, it's been very challenging to match our cost of capital with the type of products that we're seeing come across our desk at this point. As I mentioned earlier on the previous question, we are also looking at reinvesting in our portfolio and what can we do within our portfolio to make sure that we can optimize performance within our portfolio. So when you start thinking about investing capital dollars and matching it to the best investment, some of the money will be used to invest in our portfolio, and that will be a better return than trying to buy a property on the outside that you don't know. We will be -- we're going to be very active. Our JV wants to buy properties. That's a good source of capital for us. It's a good cost of capital for us. I think with the JV will remain active. I think the balance sheet piece just is a little more challenging at this time.
Operator: Our next question comes from the line of Ron Kamdem with Morgan Stanley.
Ronald Kamdem: Just 2 quick ones. Going back to sort of the pro internalization, maybe can you just remind us what the sort of occupancy and rent delta was that you were trying to close? And I could appreciate that may be a little bit delayed. But how far along are you? Are you 20%, 30% of the way? Just trying to get a sense of how much more upside there is to go?
David G. Cramer: Yes, Ron, thanks for joining. Good question. I'll start with the occupancy. We've not been able to meaningfully close the gap on occupancy yet broadly. We've had some markets where we've had successes. But overall, as you can see from our initial guidance to where we're at today with our full portfolio, we did not see a spring leasing season we thought we'd see in volume. And obviously, the pros are in more challenging markets. So obviously, a lot of pressure around building occupancy there. So I think there's a lot of upside as things turn and as opportunities present themselves and the conditions change to close that occupancy gap. We still believe in that. We still believe there's room to grow there. And the marketing spend and the rebrand starts to take hold, some of those things will start to help that. From a rate perspective, we did a good job getting through the existing tenant base, and we're able to work fairly well through the ECRI piece of that and so we're able to move contract rates in those particular pro stores and move RevPar from those pro stores because of the existing cement base. So I'd say we're probably 70% through with the first wave of that, and then we'll start to roll them into the traditional platform where you have cadence and magnitude following what our platform is. So more upside on occupancy but still some to go on rate.
Ronald Kamdem: Really helpful. And then my second question was just on expenses. I think you've talked about sort of the marketing spend, but maybe just updated thoughts on just property taxes and any other sort of line item. I know it was a pretty small move on the same-store expenses, but just any color there.
Brandon S. Togashi: Yes, Ron. So on property taxes, I mentioned in my opening remarks, we had a difficult comp because there was a onetime benefit in the second quarter numbers last year. So if you strip that out, the 8.5% year-over-year growth on that line item that we reported for the second quarter, it would be closer to 3%. And then for the 6 months, I think we reported nearly a 7% increase year-over-year. But again, if you strip out that onetime benefit in the prior year period, it's closer to like 4%. And so that 3% to 4% range is kind of in line with what we're projecting still for the full year, meaning on a year-over-year basis, that growth will come down in the second half of the year. Marketing was elevated. Dave touched on that earlier. It was definitely a lever that we were pulling in combination with the discounts. We do -- we spend a lot of time evaluating the success of those different paid search campaigns by market, and we do think there's opportunity in the back half of the year for us to dial back in some of the markets where we maybe just didn't quite see as much relative success versus some other markets. So on a year-over-year basis, it's still going to be the largest growth of all the expense line items, but I don't think it will be quite to the same magnitude that you saw in the second quarter. For the full year, I think we're still -- we're still talking 25% to 30% year-over- year on that line item. Ron, actually, sorry, one last one. On personnel, I did want to add, you saw that line item would be lower in 2025 versus prior year, some of that was adjusting staffing levels of the legacy pro managed stores that we started that effort last July. And then some of it -- and then we also -- through taking over those stores, we just had a little bit of attrition in employee base. And so we kind of got fully staffed at the beginning of this year. So as we enter the back half of the year, and you see this on the trailing 5-quarter data, in the back schedule of the supplemental, the comp becomes tougher. So we were negative growth first half of the year on personnel, it will be -- expected to be low to mid-single-digit positive growth in the back half of the year.
Operator: Our next question comes from the line of Wes Golladay with Baird.
Wesley Keith Golladay: I just want to go back to the My Storage Navigator. Has that been rolled out at all the properties? And what is your goal for that over the next 2 or 3 years for a percentage of leases done through that system?
David G. Cramer: Good question, Wes. It has been rolled out, and it's just in its infancy. And right now, I can tell you just watching -- we're really studying customer behavior, how many times they walk up to the door, different office hours, different times of the day. I do believe that is a goal or a tool that we can use to really offset how the customer transacts with us. I mean, I think if we looked at it right now, I think that tool could probably do 4% or 5% of our rental volume at the store level here in the next 6 months. So people who went to the store will use that tool probably 4% to 5% of the time. And I think that could grow substantially more than that. It's easy. It's easy to use. It's effective. And really, the consumers are telling us that's more of the way we want to transact today. If you think about where we're at pre-COVID till now -- pre-COVID, we weren't leasing it all online. And today, about 65% of our total rental volume is coming through some touch point on that digital platform where it's never reaching the store at all and about 40% is just pure customer doing it all by themselves. So we do think there's a great opportunity there.
Wesley Keith Golladay: Okay. And then one more on the AI. Is this still too soon to put numbers on the aggregate opportunity, whether it's the cost savings from the call centers or the leasing you just talked about, what are you thinking about as far as the total opportunity?
David G. Cramer: It's too soon. I'm excited about it. So I'm going to be careful here. I just think it's too soon. There's so many things you can do with it from pure call volume, success of call volume, having it step in and help your call center agents do a better job, your store personnel do a better job. I think we just -- let's watch it evolve and we'll keep trying to give you the tidbits of stats we see, but I think it's just too soon to where that can go.
Operator: Our next question comes from the line of Omotayo Okusanya with Deutsche Bank.
Unidentified Analyst: This is Sam on for Tayo. I hope I didn't miss this, but can you guys talk about how synergies come in versus the initial expectations as it relates to the pro integration?
David G. Cramer: Yes, Sam, thanks for joining. I think we've talked quite a bit through the call about -- we've had if you think -- let's start with operations and costs. We've had good payroll savings. We certainly experienced the G&A savings we thought we'd see around the pro internalization. So some of those nuts and bolts right off the bat, we were pleased with. I think from an upside synergies around really revenue and NOI improvement, we have not realized yet what the potential is there. And that stems a lot around from a rebranding, how long the rebranding is taken to catch hold. Obviously, market conditions in a lot of these markets are still very challenging. So we haven't been able to significantly move the needle around that revenue and NOI improvement. Once that does happen, that is a meaningful chunk of our NOI. Those stores are. They're probably close to 40%, 45% of our NOI. So there is an opportunity for us to see that. But at this point in time, that revenue NOI synergies is just not materialized at the pace we thought it would yet.
Operator: Our last question comes from the line of Brendan Lynch with Barclays.
Brendan James Lynch: You had a lot of good color in there about My Storage Navigator and AI agents and the new website. When you think about your technology suite as a whole in your data analysis and the algorithms, how effective do you think it is now versus where you want it to be at some point in the future when it's honed to perfection for lack of a better term? Like what is the gap between where it is now and where you're trying to get it?
David G. Cramer: It's a really good question. I always use a baseball term here. We're in the beginning to middle innings on a lot of that stuff. Having the tools built is a huge, huge checkmark for us. And having it behind us where we're not developing is a huge checkmark for us. Now when you put data to it and let it learn and you adapt and you modify and you tweak is where you really get the performance. And so in some of those ways, even like our paid search bid model is new. I mean -- and so I just think there's a lot of opportunities yet for us to realize around all of the things you had mentioned website, AI technology around the call center and particularly how we are found and how we transact on the internet.
Brendan James Lynch: Maybe just to follow up on that. If I understand correctly, it sounds like what you need more so than anything else now is data. Given the size of your portfolio, it's just data collection over a longer period of time relative to maybe some of your larger peers that can collect a wider swath of data at any given point in time? Like are you going to be able to catch up to them just with the passage of time?
David G. Cramer: Yes. And I think in today's world, we'll catch up quicker because of the systems that are available. If we were doing this 10 years ago, you would not have the sophistication of modeling, sophistication and machine learning that we have today. So yes, time will help. Every time you run a month worth of paid search and you watch the keyword results and the success of the results and where your money went, that model adapts and it learns and it learns at a very fast pace. So yes, time will certainly help us, and it's always beneficial to have an extra data point, but I think we can close the gap very rapidly versus if we were trying to do this 10 years ago.
Operator: There are no further questions at this time. I'd like to pass the call back over to George for any closing remarks.
George Andrew Hoglund: Thank you all for joining our call today, and we look forward to seeing many of you at the various conferences in September.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.